Operator: Good day, ladies and gentlemen, and welcome to the Raytheon Fourth Quarter 2011 Earnings Conference Call. My name is Deanna, and I'll be the operator for today. [Operator Instructions] As a reminder, today's conference is being recorded for replay purposes. I would now like to turn the conference over to your host, Mr. Todd Ernst, Vice President, Investor Relations. Please proceed, sir.
Todd B. Ernst: Thank you, Deanna. Good morning, everyone, and thank you for joining us today on our fourth quarter conference call. The results that we announced this morning, the audio feed of this call and the slides we'll reference are available on our website at raytheon.com. Following this morning's call, an archive of both the audio replay and a printable version of the slides will be available in the Investor Relations section of our website. With me today are Bill Swanson, our Chairman and Chief Executive Officer; and Dave Wajsgras, our Chief Financial Officer. We'll start with some brief remarks with Bill -- by Bill and Dave, and then move on to questions. Before I turn the call over to Bill, I'd like to caution you regarding our forward-looking statements. Any matters discussed today that are not historical facts, particularly comments regarding the company's future plans, objectives and expected performance, constitute forward-looking statements. These statements are based on a wide range of assumptions that the company believes are reasonable but are subject to a range of uncertainties and risks that are summarized at the end of our earnings release and are discussed in detail in our SEC filings. With that, I'll turn the call over to Bill.
William H. Swanson: Thank you, Todd. Good morning, everyone. Raytheon delivered solid operating results in 2011. Looking back at the year, I see a company that capitalized on global market opportunities and also successfully managed the challenges of an evolving economic environment. Our margins, earnings and cash flow were all better than expected, and bookings and backlog were strong. In this environment, we focused on the things we could control and what we do best. We executed our strategy. We continued to implement efficiencies across the businesses, lowering our cost. We provided more affordable, innovative solutions to our customers. And this, ultimately, allowed us to deliver solid returns for our shareholders. A bright spot and a key driver of our bookings strength was the international business, which represented 29% of the total company's bookings for the year. A couple of highlights included 2 large awards in the fourth quarter. The United Arab Emirates ordered 2 TPY-2 radars, which are the world's most advanced forward-looking mobile radars, and a key-sensing component of the THAAD missile defense system. This represents the first international sale for this product. The other highlight was Taiwan's order for additional 3 Patriot fire units. I mentioned some of the larger ones, but there are also hundreds of smaller bookings across a number of product lines and the 81 countries where we do business. This drove the international backlog to 37% of our total backlog and demonstrates the alignment of our advanced technologies with the evolving needs of our global customers. It also points to continued success of our international strategy. On the domestic front, we started off the year under a continuing resolution. And even after the budget was signed in mid-April, the funding was slow to start up. Coupled with this, we finished the year again under a CR through December 22. With all this in mind, we're encouraged by the fact that Congress avoided another extended continuing resolution and moved forward on the fiscal year '12 defense budget. The outcome contained few, if any, surprises. I'm proud of Raytheon's team's performance and our ability to deliver in this environment. We expect the fiscal '13 budget shortly. We expect some changes. In this environment, we're focused on the right areas and have a strong portfolio in electronic warfare, ISR, cyber and missile defense, which are priority areas for our domestic and international customers. Regardless of any external uncertainty, the Raytheon team will remain focused on what we do best: delivering innovative products while reducing our cost and operating with improved speed and agility. We remain committed to delivering the best value for our customers and our shareholders. Our company remains strong, and we're well positioned for the future, with a proven strategy and solid financial foundation. I'd like to take a minute to highlight a couple of the achievements of last year. In recognition for our development of top leaders, Raytheon was named the FORTUNE's 2011 North America Top Companies for Leaders list for the second consecutive year. Further, we finished 2011 with the best environmental health and safety performance in the company's history. Our safety performance is world class and industry leading, and our sustainability program continues to be recognized. Before concluding, you've heard me talk in the past about our company-wide integrated enterprise platform and common processes and systems that span all our major functions: finance, supply chain, contracts, human resources, as well as manufacturing and engineering. This has been a multiyear strategy, with over 85% of our business transactions, supply spend and manufacturing volume now supported by our integrated enterprise platforms. We also achieved key milestones for our engineering common Product Data Management, PDM, and our Manufacturing Requirements Planning, MRP, systems. PDM, for example, is being deployed across the company to enable us to manage, share and use product data more effectively. Having these platforms helped drive our cost-efficiency efforts, the results of which are reflected in our performance. I want to thank the Raytheon team for their hard work, dedication and focus on customer success that makes our solid results possible for the ongoing commitment to our customers, our company and our shareholders. With that, let me turn it over to Dave
David C. Wajsgras: Okay, thanks, Bill. Good morning, everyone. I have a few opening remarks, starting with fourth quarter and full year results, then I'll discuss our outlook for 2012. And after that, Bill and I will open up the call for questions. So during my remarks, I'll be referring to the web slides that we issued earlier this morning, which are posted on our website. Okay, if everyone could please move to Page 3. Strong operational performance, including cost-reduction efforts across the company, drove our margin, EPS and operating cash flow results during the quarter. Our fourth quarter adjusted EPS of $1.74 was up 12%, and for the full year was $5.90, up 7%, primarily the result of operational improvements and capital deployment actions. We also generated strong operating cash flow of $1.3 billion for the quarter and $2.2 billion for the year after making a fourth quarter $750 million discretionary contribution to our pension plans. Additionally, during the fourth quarter, the company repurchased 7 million shares of common stock for $313 million, bringing the full year 2011 repurchases to 27.1 million shares for about $1.3 billion. As we've previously disclosed, in the fourth quarter 2011, the company issued $1 billion in long-term debt. The company ended the year with a strong balance sheet and net debt of just over $600 million. I'll talk to our strong bookings, particularly in the fourth quarter in just a moment. And finally, during the quarter, we announced that we had acquired 2 companies, Pikewerks Corporation and Henggeler Computer Consultants, further extending our capability to serve the cybersecurity, enterprise architecture and systems engineering needs of our customers in the intelligence community, as well as in the Department of Defense. Both companies have become part of our Intelligence and Information Systems business. These acquisitions are on top of the 2 we completed earlier in the year, Applied Signal Technology, which is now part of our Space and Airborne Systems business, and Ktech, which is now part of our Missiles business. All are performing well. Turning now to Page 4. Let me take you through some of the details of our fourth quarter and full year results. We had strong bookings of $7.1 billion in the quarter and $26.6 billion for the full year, resulting in a backlog of $35.3 billion and a book to bill of 1.11 in the quarter and 1.07 for the year. 33% of our bookings during the quarter and 29% of our total bookings for the year were from international customers. And also of note, 3 of our businesses, Integrated Defense Systems, Space and Airborne Systems and Technical Services each had record bookings for the full year of 2011. Notable bookings in the fourth quarter included just over $1 billion at IDS for TPY-2 radar contracts for the UAE Missile Defense Agency and U.S. Army, $560 million to provide advanced air and missile defense capability for Taiwan, $243 million on the Zumwalt-class destroyer program for the U.S. Navy and $177 million to provide consolidated logistic support for the MDA. Missile Systems booked $383 million for the development of Standard Missile-3 for the Missile Defense Agency, $131 million for the production of Paveway for international customers and $128 million for the production of evolved Seasparrow missiles for the U.S. Navy and international customers. SAS booked $212 million for the production of AESA radars for the U.S. Navy. And IIS and SAS booked $433 million and $177 million respectively on a number of classified programs. Backlog for the year increased a little better than $750 million over year end 2012. Turning now to Page 5. Fourth quarter sales came in at $6.4 billion. Comparing to our guidance, sales came in slightly below the low end, primarily due to the company's ongoing cost-reduction efforts. When comparing the prior year, it's important to note that there were 5 fewer workdays in the 2011 fourth quarter. Our average 2011 sales per workday was approximately $100 million. Looking at the businesses, Integrated Defense Systems net sales were $1.3 billion in the quarter. The change was primarily due to lower sales on Zumwalt and on an international Patriot program. As many of you are aware, during the quarter, IDS received U.S. Congressional and State Department approvals on a $1.7 billion direct commercial contract to upgrade the Kingdom of Saudi Arabia's Patriot Systems to the latest Configuration-3. Intelligence and Information Systems net sales were $753 million in the quarter, driven by lower sales on domestic programs which were impacted by the continuing resolution. Missile Systems net sales were $1.5 billion in the quarter. The change was driven by the Rolling Airframe Missile and SM-2 programs. At Network Centric Systems, net sales were $1.1 billion in the quarter. The change in net sales was primarily due to U.S. Army programs, which are nearing completion. Space and Airborne Systems had net sales of $1.3 billion in the quarter, up 3%, driven by sales related to Raytheon Applied Signal Technology. Technical Services had fourth quarter 2011 net sales of $886 million. The change was primarily due to the lower sales on programs nearing completion, including a DTRA program and a TSA program. If you'd move ahead to Page 6. We delivered strong operational performance and executed well on our cost-reduction initiatives, both in the quarter and for the full year. Our adjusted operating margin was up 220 basis points in Q4 and up 70 basis points for the full year. Each business had solid performance, with year-over-year margin expansion. There were a couple of items that I do want to point out that did have a positive impact on 2 of our businesses. At IIS, we had a $9 million recovery of an insurance claim; and at Missiles, we had a $21 million favorable contractual resolution. When you compare our fourth quarter margins to our prior guidance, all of our businesses performed better than the high end of the range that we had provided in October. We clearly saw meaningful improvements from our productivity efforts. As I've been saying all year, we're focused on cost control and productivity improvements, which will ultimately benefit our shareholders and our customers. Just to put some color on this, our efforts on efficiency improvements cover the full spectrum of our cost structure. We are continuing to drive savings across the supply chain. We are streamlining our factory operations, improving our direct to indirect ratio and driving down overhead costs. The positive swing in margins reflects these efforts. Now let me just briefly describe our supply chain initiatives. The objective is to deliver cost savings, improve efficiencies and quality, while building stronger, longer-lasting strategic relationships with our supplier partners. By way of example, our centralized strategic sourcing effort allows us to identify key suppliers with the right capabilities and capacity that meet our requirements. As a result, we've taken our supply base from approximately 30,000 several years ago to about 12,000 today, even as we increased our total spend on supply chain, in line with the company's growth. We are seeing real value and cost efficiencies. We're leveraging our resources more effectively, with a smaller, more strategic group of suppliers that drive the quality and product affordability that our customers expect from Raytheon. In large part, we're in a position to effectively implement these types of enterprise-wide productivity programs as a result of the strategic investments in our Information Technology area. As Bill just mentioned, we're in the final stages of a company-wide MRP platform implementation, allowing us to improve visibility into our supply chain across the company and better respond to market conditions and customer requirements. Additionally, we're moving forward with an enterprise-wide product data management system which will allow us to seamlessly collaborate on product design across the company with our suppliers, while integrating with our MRP system for realtime resource planning. These are significant, competitive discriminators and will become increasingly important going forward. If you'd move to Pages 7 and 8. You'll see both the fourth quarter and full year adjusted earnings per share. In the fourth quarter 2011, our adjusted EPS was $1.74, up 12%, and for the full year was $5.90 versus $5.51 in 2010, an increase of 7%. The increase for both periods was driven by operational improvements and capital deployment actions, specifically share repurchases. The company generated stronger-than-expected operating cash flow of $2.2 billion in 2011 after the discretionary $750 million cash contribution to our pension plans. This was the result of our continued focus on working capital management and customer advances. Turning now to Page 9. In the first quarter of 2012, we sold the remaining operating assets of RAAS, Raytheon's residual turbo-prop commuter aircraft portfolio, at a slight gain. And all its operations have ceased. And there are no contingent obligations. The results from RAAS are required to be reclassified to discontinued operations for all periods, including our -- including prior periods, beginning in the first quarter of 2012. We provided historical data for this reclassification in the attachments that accompany the press release to help you better understand the impact to our historical results. This completes the sale and closeout process of our 515-plane portfolio that we began a number of years ago. Moving on to our 2012 guidance. We see sales in the range of between $24.5 billion and $25 billion. As for pension, we now see that FAS/CAS Adjustment at $284 million, which is more favorable than we assumed on the third quarter earnings call, primarily due to the $750 million discretionary cash contribution we made in the fourth quarter. In addition to the discretionary contribution, our 2012 FAS/CAS Adjustment was also impacted by the discount rate environment and our asset returns in 2011, which were slightly negative for the year. Our end-of-year discount rate was 5%. We expect net interest expense to be between $190 million and $200 million, which is higher than 2011 due to the new debt that we issued in the fourth quarter. We see our average diluted shares outstanding to be between $334 million and $340 million on a full year basis. As for our effective tax rate, we see this coming in at approximately 32%. In 2011, our effective tax rate was 29.5%. If you adjust for the 2011 third quarter tax-related benefit and the R&D credit, 2011 would've been approximately 32.5%. Also, and just to be clear, in the past, we've included the R&D tax credit in our guidance. However, for planning purposes, we've not included the possible extension of the R&D tax credit in our 2012 guidance. If the legislation passes, it would favorably impact the effective tax rate by about 100 basis points and is worth about $0.07 in EPS. In 2012, we expect EPS to be in the range of $4.90 to $5.05. We see our adjusted EPS to be in the range of $5.45 to $5.60. Our operating cash flow guidance is expected to be between $1.6 billion and $1.8 billion which is down slightly from 2011. However, it's important to note that we received the cash advance at the end of 2011, which is expected to liquidate as we move through 2012. And we also made a sizable discretionary pension contribution in 2011, which is not anticipated for 2012. When you normalize for these items, cash flow decreases slightly, driven by higher cash taxes, as well as the strong performance we saw in Q4 2011. And finally, we expect our return on invested capital to be between 12.3% and 12.8%. Continuing on to Page 10. I'll briefly comment on our outlook. From a sales perspective, we see our International business offsetting the softness in our domestic business. We expect 2012 margins to continue to be solid but will be impacted by a change in program mix, contract completions and a workdown of more mature products in our domestic backlog. And again, our improved cost structure gets repriced into our new contracts as they get awarded throughout the year. If you'd now turn to Page 11. We provided you with our 2012 outlook by quarter. You'll notice the improvement in sales cadence as we go through the year, which reflects program timing in the current environment. It's also important to note that there is a slower ramp of our longer-duration international business, specifically associated with some of the larger bookings we received at the end of 2011. We expect bookings to be back-half-loaded, similar to last year. Finally, on Page 12, as many of you have requested, we've provided a summary of the financial impact from our pensions in 2011, as well as our assumptions for 2012 through 2014. We believe this will help you better understand our company over the next few years. I do want to point out that holding all assumptions equal, 2011 represents the inflection point with the FAS/CAS Adjustment continuing to improve in 2012, ultimately turning positive in 2014. With respect to CAS harmonization, the rule was published late in 2011 and primarily increases the CAS reimbursement in 2014 and beyond. For this outlook, we've held the 5% discount rate constant over the forecast period, notwithstanding possible increases in the interest rate environment. So let me conclude by saying that in 2011, Raytheon delivered strong operating performance with margins, earnings and operating cash flow all ahead of expectations despite the challenging economic environment. Book to bill was strong and total backlog increased year-over-year. We will continue to expand our already substantial international business. Our balance sheet remains solid, with net debt of less than $1 billion. Given our strong financial position, our diverse portfolio of innovative and affordable technologies and our continued focus on driving efficiencies across the business, we remain confident in our future and in our ability to continue to deliver improved value for our customers and our shareholders. So with that, Bill and I will open up the call for questions.
Operator: [Operator Instructions] The first question will come from the line of Heidi Wood, Morgan Stanley.
Heidi R. Wood - Morgan Stanley, Research Division: A couple of questions for you guys. Actually, just awash in paperwork here, so I'm trying to find the questions. First of all, on the international sales outlook, Bill. As we look forward, can you highlight us -- for us where the areas of opportunity are going forward? I mean, has the Asia-Pacific market sort of flattened out? Or do you see opportunities in Indonesia, Malaysia, Saudi? Where is that coming in from? And also highlight for us what percentage of international sales will they be in 2012 versus '11.
William H. Swanson: Okay, let me start with 2012 first. We expect about 30% of our bookings to come internationally and about 26% of our sales. And we expect probably mid-single-digit increase in the environment. Clearly, for us, Asia and the Middle East are important and are still growing, and we don't see those being flat. And we actually -- given some of our products, they're all around the world. If you take our traffic control business and radars and systems, those have got markets everywhere. We've got C4I opportunities not only in Mideast, but other places in the world. And of course, in our missile business, those continue. Patriot, probably one of our biggest drivers. We've got Kuwait probably in the second half for 2 to 4 fire units. Turkey should be making a decision probably in the first half and an award in the second half. We've got activity in Oman for air defense. We've got Paveway around the world. Mentioned ATC. Training is growing for us internationally. We've sold some virtual simulation equipment, initial sales, and that looks like it's going to proceed to other parts of the world. And we see South America actually warming up as we go forward. If all that helps.
Operator: The next question will come from the line of Troy Lahr, Stifel, Nicolaus.
Troy J. Lahr - Stifel, Nicolaus & Co., Inc., Research Division: You guys talked a lot about some of the restructuring efforts that you're going through. But how much of these are you actually able to hold on to? Are you giving back all these to the customer once you guys reprice this? And can you just maybe give me some clarity on that, because we're seeing margins kind of decline a little bit in 2012. So I'm just wondering, even longer term, how much do you guys are trying to keep?
William H. Swanson: Let me take part of it, and I'll turn it over to Dave. One, I would not use the term restructuring. For us, part of what we do every day is continue to take costs out of our business. We do that a number of ways. So Dave went through the Integrated Systems and what we're doing. What we basically try and do in this company is fundamentally lower our cost across the board in all businesses. And for us, we can say that, because all 6 businesses did very well in improving their margin performance. So we look for sustaining in that effort. For us, clearly, 56% of our contracts are fixed price and about 44% are cost plus. So you take that into account when you go forward. Some of those savings immediately go right to the customer, which is good for them, because they want us to do more with no more. And I think we're demonstrating that. And on the fixed price, some of those contracts have a long duration, so you keep it. Some have a short duration, where you bid year-over-year. And where it's year-over-year, we reflect those savings, and then we start again and go look for more savings as we go forward. So for me, having done this for a long time, you never run in place. You're always conditioning yourself to be able to run longer and faster, and that's what we're trying to do here. So with that, I'll turn it to Dave.
David C. Wajsgras: So I talked a little bit about this in the opening comments. Raytheon does have a competitive advantage in many areas. Here, specifically, we're addressing the strategic investments that we made in our Information Technology systems that began a number of years ago, and we're in the final phases now. I provided a little bit of color on the supply chain and what we're doing to improve our efficiencies there, along with our supplier partner base. Going forward, we see these type of initiatives continuing, because, again, based on the broad range of company-wide systems that we're able to leverage as we approach cost structure improvements. I agree with Bill. It's more of the way we do business, and I think characterizing it as a restructuring is not the right way to look at our cost and productivity initiatives. Going forward, I would suggest that this continues to be the case. It's something we've talked about for a while. If you are looking at '12, the biggest driver there is the mix of our business, primarily from an international perspective. We have some longer duration, large international programs that are beginning to ramp up and some other international programs that are in the final phases of production, and it's more of a typical cycle. But with that, we do see ourselves continuing to support the customer in their effort to reduce costs and improve affordability. And also, ultimately, it's in the benefit of our shareholders.
Operator: The next question comes from the line of Carter Copeland, Barclays Capital.
Carter Copeland - Barclays Capital, Research Division: Just a quick question and one sort of clarification on the cash flow. For Bill, I wondered if you might speak to the ministerial changes in the Kingdom of Saudi Arabia, and what you see that meaning for the world's largest defense export market? And how we should be thinking about that transition, and if it means anything to you and even to some of your peers? I'd love some of your insights there. And secondly, for Dave, just a clarification on your cash flow comments. You said that in Q4, working capital and customer advances were a contributor to the strong performance. And then you called out cash taxes being a headwind in '12, but then you said that '12 cash flow will be down slightly after correcting for, I think, the advances, but not the cash taxes. I'm just trying to figure out, is working capital a reversal in '12 as well? Or is this just the advance reversal and cash taxes?
David C. Wajsgras: Yes, it's -- okay, so let me just answer the last question, and then I can clarify whatever you'd like. So as you go forward into '12, what I was trying to do is -- there's a lot of activity, right? We had discretionary pension funding as we move forward from '11 to '12. We had that $750 million pretax, $500 million aftertax. Then if you separate that out, there is a slight increase in the cash taxes year-over-year. The balance of this is we had strong cash performance in Q4, particularly toward the latter part of Q4, which obviously improved 2011. And that's going to be difficult to replicate as we go into 2012. The largest portion of the change between the working capital and the advances is the liquidation of the advances.
Carter Copeland - Barclays Capital, Research Division: Okay. Okay, I think I got it.
William H. Swanson: Okay. Let me try and remember the question you gave me. First of all...
Carter Copeland - Barclays Capital, Research Division: About KSA and ministerial change.
William H. Swanson: No, no, I remembered, I was just being a little facetious. For Raytheon, we've been there since 1965. So that's 47 years. I've been doing business there for about 32 years, so good portion of that time. We've seen a lot of change in the kingdom. The change has been positive. They have a very good succession planning process. It's laid out, and they've let us know where the changes are going to be. And so for a company that's been there for 47 years and has probably one of the best relationships, I'll be a little bit biased here, we feel very comfortable with what takes place there. And they count on us to do what we say we're going to do and to do a little bit better. And our plan is to continue to delight them. And they're a big customer of ours. And that's about the way I think of it. I look at it as very stable.
Carter Copeland - Barclays Capital, Research Division: So no significant change in how we should think about contracting? And there's no -- there's really a seamless transition is what you're saying?
William H. Swanson: Yes, for us. I mean we've been there. What I tried to -- maybe I'd explain little bit. We've been there so long that we understand it, we feel part of the fabric. And we continue to get contracts there across the board, across all the ministries, whether it's Ministry of Interior, whether it's MODA, whether it's the SANG, the National Guard, we really enjoy our relationship. And I don't see any change in that going forward from a Raytheon perspective.
Carter Copeland - Barclays Capital, Research Division: But it sort of implies it could be different for some of your peers.
William H. Swanson: Well, if you don't perform, it will be really different.
Operator: The next question will come from the line of Sam Pearlstein, Wells Fargo.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: Dave, I wanted to just go back a little bit on the cash flow and see if you can maybe quantify some of this, is that if I look at your year-over-year cash from operations, it looks like it's down kind of $400 million to $500 million. You've showed in the slide that you're going to have about $700 million less in cash going into pension. And so I'm just trying to think about how much of that could really be the cash taxes. And then separately, can you just give us a CapEx number for '12 versus '11?
David C. Wajsgras: Yes, CapEx for '12, let me start off with that, including the software portion, is about in line with what we -- where we ended for '11. So there's no big swing item in that area. And if you look at kind of '11 to '12, because of the year-end performance, in combination with the advances, the way I would suggest, Sam, looking at our cash flow is really over a 2-year period. And I think if you normalize it, you'll see more of the normal pace and cadence from our company perspective. The change is between the advances. And the performance in Q4 is in the neighborhood, year-over-year, of $700 million, $800 million. But again, this is all due to the timing of what happens when. It could happen on the last day of one quarter versus the first day of another. So I think it's better, and analytically, if you're going to try to look at the company and understand the company to sort of average this over a 2-year period.
Samuel J. Pearlstein - Wells Fargo Securities, LLC, Research Division: But if I see -- if I just look at the advances line, it's up $500 million from the September quarter to the December. So that's what you're talking about in terms of the advances. And then I'm just trying to just get a quantification of cash taxes in '12 versus '11. How big of a shift is it?
David C. Wajsgras: Yes, the shift in cash taxes to '12 is about $100 million, $150 million. Now that's excluding the impact of the cash taxes from the discretionary pension contribution. If you take that into account, it's $350 million. So I'm trying to just walk that down. I was isolating the tax benefit associated with the discretionary pension contribution.
Operator: And the next question will come from the line of Robert Spingarn, Crédit Suisse.
Robert Spingarn - Crédit Suisse AG, Research Division: Could you talk a little bit about the organic sales expectation by domestic and international, Bill? And then perhaps offer your bookings expectation for the year.
William H. Swanson: Yes, I think the way I look at this is I expect domestic to be down, probably down because of inflation, because we'd look at it being flat with inflation taking it down. And then on the macro part, we look at the international offsetting that to kind of keep us at, I'd say, level as we look through it. At the same time, if the international happened at a faster rate, then the international would really offset the domestic. And so, we're pushing hard on some big jobs internationally to see if we can begin to move to left a little bit, which would be better for the home team, as I look at it. And so that's where our real push is. And as Dave mentioned, we had some come in at the late part of the year a little later than we wanted. But the good news is they came in. And for us, internationally, we're not having losses. It's just a delay. So I feel really good about our international posture of where we're going. And then the other thing, domestically, we're seeing a good uptick in the classified. For us, total year, we had about 12% of our bookings and about 15% of our sales in classified. And next year, we expect bookings about 13% or 15% range. And we expect sales in the 14% or 15%. So we expect a high single- or low double-digit growth in the classified area. So that's a positive on the domestic side that we expect to see more of that, especially where we think the department is going in '12, '13, and '14.
Robert Spingarn - Crédit Suisse AG, Research Division: Bill, can we put some more specific numbers to those though? Would we have like -- what would your book-to-bill expectation be across the company for the year? And then on the organic growth decline domestically, what does that look like, given that you've got sort of flattish sales with the acquisitions and the international growing?
David C. Wajsgras: Let me kind of set up a little perspective, and I'll answer your question very directly. So you start out with a bookings cadence in 2011. Bookings in the first half of the year were about $12.5 billion. The balance of a little bit better than $14 billion was in the back half of the year. It's following the same sort of pace and cadence as we go into '12, just say, roughly speaking, 40%, 45% in the first half. The balance in the back half of the year. That's kind of from a company-level viewpoint. So you take this down, what does it translate into. For -- from a domestic sales standpoint, full year basis, we see ourselves being down in the low single digits, say 2%, 3%-ish. From an international standpoint, mid to high single digits, and then you kind of run through the math. And that takes you to about flat on the year, maybe plus 1% to down 1%. And if you want a book end, the book-to-bill ratio today, again, it's early in the year, but you could be anywhere in the say, slightly under 1 to maybe upwards of 1.04, 1.05, right in that neighborhood.
Operator: The next question comes from the line of David Strauss, UBS.
David E. Strauss - UBS Investment Bank, Research Division: Bill, how are you thinking about the potential for the sequester? And how do you plan for that, given that it's unlikely anything's going to be resolved until post the presidential election?
William H. Swanson: Well, what we do here is since Modeling and Sim is a good part of our business, we look at both the upside and the downside and what it means. And the other thing that we look at, I mean, the key things are the versatility of our portfolio. I've always been trained when one door closes, another door opens. Here, the way we talk about it in our company is trying to figure out the second and third order effects of every decision. So for us, what we look at is we still have to figure out how to train, fight and equip, and we have to do it in this new environment. And given that we've got 8,000 programs and 15,000 contracts, we go through a pretty good analysis of figuring out, okay, this is what the normal budget would be, and if we did go to sequestration, what would they do and how would we handle it? Where do we offset it? Clearly, for us, if I think about what the SecDef says, he still wants to have the strongest military in the world. He believes the forces will be smaller but still significant. He wants them agile, flexible, rapid, et cetera. He wants to focus on the balance of global posture, which is really the Pacific region, MENA, and he wants to work on partnerships. So if I think through that part, our international strategy really ties in nice. We also tie into the front part, and he wants to be able to confront multiple aggressors and wants to continue to invest in defense technology. And so, when I think of all the things that he wants to do in the current environment and what sequester would do to them, we'd look at it and make sure that we see the telltale signs of it as things happen, and that as a company, we have plans in place to be able to handle that. And so from our standpoint, we know what to do, if the worst happens. Spending my time on The Hill, we're not hearing about the worst happening. They're trying to figure out ways around this, but we'll see what will happen. But in any case, plus, middle or down, I can assure you the company has plans in place to be able to handle that.
David E. Strauss - UBS Investment Bank, Research Division: Okay, but just to be clear in terms of your forecast, as it stands say, revenue forecast, it doesn't incorporate any impact from the sequester coming -- actually coming through this year.
William H. Swanson: Right, because if you look at it, the fiscal year '12 and '13 budgets have the Budget Control Act built into them. The only thing that could change that is if somebody decides that they're really going to go through -- go in and throw the knife and make it happen. Then I think we'll start to see that in '14 and '15. But there could be some cancellations in '13.
David E. Strauss - UBS Investment Bank, Research Division: Okay. As a follow-up, can you just give us an idea on DDG 1000, where that stands now in terms of a revenue run rate? How much does it come off? And what's the outlook for it over the next year or 2?
David C. Wajsgras: Yes. So right. If you go back to '10, the program from a Raytheon standpoint drove about $800 million in sales. You roll the reel forward. The program was retimed out a few more years than we originally had anticipated. And in 2011, we had about $450 million in sales from that program. And that'll come down to about $300 million in '12 and then start to rebound about $100 million a year after that. In other words, it'll be up to about $400 million in '13.
William H. Swanson: And I would add something to what Dave said, as there's going to be a pretty good debate going on now between what Zumwalt can do and what the 51 can do. There's a GAL report out that is asking for a pretty good analysis to be done, because some of the decisions that were made back when really didn't have all the information to what the Zumwalt can do. So we're looking forward to seeing that first ship go in the water with its capabilities. And we think it's going to be eye-watering when people see what this new hull can do and the electronics in the ship. And if you look at it, manning, you go from 450 people down to 150, if I remember my numbers right. So it should be some exciting times for Zumwalt coming up here.
Operator: The next question comes from the line of Jason Gursky, Citi.
Jason M. Gursky - Citigroup Inc, Research Division: I was wondering if you could, on a more book-peaking-type question, update us on the percentage of overall company sales that you might get from your largest contract at this point, and maybe from your top 10 contracts?
William H. Swanson: Yes. Let me talk a little bit about composition and diversification as -- since the numbers are very important to us. Only 36 of our contracts had sales greater than $100 million last year. Only one contract had sales greater than $500 million. Only 31 contracts made up 25% of our sales. The next 25% were 132 contracts. The remaining 50% is driven by 15,000 contracts. So I'll give you an idea of the diversification of our portfolio and how we look at the company. And one of the reasons why I feel sorry for all of you, because it's really hard to model us, when you look at it, when you have that many contracts in the mix. But the good part about it is that it really speaks to the strength of the portfolio of smaller forces, how do you be significant, agile, flexible and rapid. And we can do that. And then it's -- you give me an opportunity to do a little bit of my thing. I like to talk about tech wins that no one ever reads about. And some of the wins we're having are phenomenal, where we have strategic social interaction, where we really look at helping the military understand how you engage with others, with cultural differences, just to give you an idea of the versatility of what we get into. We have another program called Sirius, which is a learning environment of how do you mitigate cognitive base -- biases. So when analysts look at things, you have built-in biases, and we're working with gamers and others to help analysts understand how you get those biases out when you look at data or information. And then we have our high-frequency Surface Wave Radar systems, where we can do coastal defense and with unbelievable area coverage far enough out. I mentioned our virtual simulation. We had an international award there, but now countries are realizing they can do training in a different way, especially when you realize the youth is very comfortable with virtual worlds. And then we have work we do for the Automated Dependent Surveillance-Broadcast capability, ADSB, which is the air traffic control work that we're doing there. And then we've got railgun pulse forming networks. We kind of see those in the movies, so Transformers and stuff. But that's the stuff this company's involved in. So broad based portfolio, lots of tech wins going on that help us here in the future. If that helps.
Jason M. Gursky - Citigroup Inc, Research Division: And then just one quick follow up. If we look at margins out of the next several years, Dave, I think you mentioned that international, as far as the revenue rate, they're kind of picking up into the back half of the year, I'm guessing that moves into 2013 as well. Can you confirm or just give us some color as to what margin rates do when international becomes a greater mix of your overall business to be able to stay at current levels or actually move higher as that mix moves more towards international.
David C. Wajsgras: Well -- so we performed well in '11. Understand that's in the rearview mirror. That was the result primarily of controlling and managing our cost structure. And we'll continue to do that as we move forward. As we shift more toward international, we do see that benefiting the company from a return standpoint. So I would suggest that we will continue to focus the group on return on sales and managing the cost structure and capitalizing and leveraging on our international business. One of the things that you have to keep in mind is -- and we've said this in the past, the numbers that you see are the company average. So there's a lot of programs that are to the left of that average and some programs to the right of that average. And internally, we continue to focus on programs that are to the left of center and continue to try to drive the company toward improving overall returns for the company as we move ahead. Hope that helps.
Operator: The next question comes from the line of Cai Von Rumohr, Cowen and Company.
Cai Von Rumohr - Cowen and Company, LLC, Research Division: I follow the company for over 25 years. Nice to see you break out single-line item total Patriot orders. I always thought it was like 25 programs. Nice to admit that it's really one major area. So anyway, so you had $3.1 billion of orders, and it looks like your book to bill was well over 1. And you indicated that DDG is coming down this year. But we've gone 2 years with book to bill at IDS kind of over 1.1. The rebound of DDG next year, I mean, in 2013 -- I mean, and the growing backlog on Patriot. I mean, is there any way we're not going to have a good sales gain at IDS in 2013?
David C. Wajsgras: Well, it's -- I like your analysis. We're not talking about 2013, but I would suggest that if you stand back and look at the performance of IDS and the large awards and the duration of some of these contracts as they start to ramp up, I think we'll see a good, solid year for IDS in '13 on top of a strong year in 2012 .
Cai Von Rumohr - Cowen and Company, LLC, Research Division: But then you projected that margins are going to be down, and yet you have this big incremental backlog add from the Patriot. And the Saudi work is your second Config-3 customer. So shouldn't the profitability be at least as good, if not improving?
David C. Wajsgras: There's a lot of moving parts, and you have to, firstly, keep in mind that the margin, by and large, as we look again in the rearview mirror, was driven by the productivity actions, and those at some point in time, either realtime or in a fairly short period of time, get repriced in the contracts. So that's part one. Part two is the larger programs that were recently awarded in IDS and some of the ones that we anticipate being awarded this year are longer-duration, ramp-up programs. And as a result, given the initial risk in opportunity profile, we have to take all that into account with respect to our booking rates and how we see these programs from a return perspective. So in 2012, you're starting to see the ramp up of some new programs, and you're seeing the final phases of some longer-term production programs. As we move into '13 and '14, we'll continue to push on margins, not only at IDS but across the company.
Operator: And the next question will come from the line of George Shapiro, Access 3:42.
George D. Shapiro - Access 3:42, LLC: Dave or Bill, I'm just wondering, you usually give how much international sales grew in the quarter and how much domestic came down, and what classified it. But unless I was sleeping on -- I didn't hear it this time.
William H. Swanson: Let me try to do some of them, and Dave can chime in here. I think I mentioned on the classified, they represented total year about 12% of our bookings and 15% of the sales. It was about the same thing in Q4, in that, and classified grew about 9% year-over-year. And we expect similar growth next year in the 8% to 10% range. On the international, for the total year, they were 29% of the bookings and about 25% of the sales. And for the quarter, it was about 33% of the bookings and 25% of the sales. And that was about a 7% increase year-over-year. In '12, I think I mentioned bookings should be about 30% sales around 26%, and we expect mid-single-digit increase.
David C. Wajsgras: So George, one of the things -- and I'll provide a little more color. One of the things that's important to keep in mind is there were 5 fewer workdays overall on the quarter. So year-over-year, from a company standpoint, adjusting for those days, we would have been up about 2% from an overall standpoint. But when you just run the pure math, and you don't normalize for days, classified would've been down about 5%, but it's not a good comp, because you're comparing a little bit of apples and oranges. And I think that's maybe what you were looking for.
William H. Swanson: And the one thing I'd add that we didn't chat about that cyber continues to grow for us. We both have the white and the black world here, or classified, and unclassified, but the good news is the way we look at classified and the way we can, but we can't report on it. But clearly, for us, we saw double-digit increase last year in cyber, and for your all benefit, the RFPs are starting to see an uptick in this world. So we're feeling pretty good about where cyber's going. And to kind of put it in perspective, I think we got about 2,000 people -- professionals, working on the 1s and 0s side and an equal number working on making sure that our solutions are inside our products as we go. So that's why it makes it hard for us compared to anybody else. We do it in the product and services, plus we do it internally.
George D. Shapiro - Access 3:42, LLC: So Dave, putting it all together, how much was domestic down on both adjusted and unadjusted basis?
David C. Wajsgras: In the fourth quarter, I can give you the unadjusted. It was down just a little under 7.5%. But again, George -- and this is important, so I'll reemphasize that those 5 days have a big swing in all of these numbers. And if you want to do it analytically, you can. I'll leave that to you, which is fine, but just on an arithmetic basis, it was down a little under 7.5%. Again, that's not a good comp because of the 5 less workdays.
George D. Shapiro - Access 3:42, LLC: And then just one slightly different question. You're projecting NCS sales in '12 to be down to flat to down a little bit after declining by 9% in '11. Given the sharp declines we're seeing in the Army and the high focus of that business it -- in the Army, why won't that revenue number be down by more?
David C. Wajsgras: Okay. So NCS was historically aligned with Army requirements, as you just suggested. And priorities have shifted. So when we look at C4I, they have 1 or 2 meaningful international prospects in 2012, and we would expect them to ramp up during the year. It's also important to note that they have some real opportunity to expand in the Homeland Security area. So I guess the summary is they're ramping down in the second-gen EO Army business and shifting more towards international areas of C4I, Homeland Security and virtual or simulation training.
William H. Swanson: Plus, I'd add their Air Traffic Control Radar and Systems business is picking up, because international air traffic is growing. And for us, we see Homeland Security increasing. I think last year, we had sales around $760 million. If you go back a couple of years ago, that was about $532 million. And we expect Homeland Security to grow in the low single digits. And that's one of the strengths of NCS.
Todd B. Ernst: We're going to have to leave it there today. Thank you, all, for joining us. We look forward to speaking with you again on our first quarter call in April. Deanna?
Operator: Ladies and gentlemen, this concludes today's conference. We'd like to thank you for your participation. You may now disconnect, and have a great day.